Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Centerra Gold 2015 Fourth Quarter and Year-End Results. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, February 25, 2016. I would now like to turn the conference over to Mr. John Pearson, Vice President, Investor Relations. Please go ahead, sir.
John Pearson: Thank you very much. I would like to welcome everyone to Centerra Gold's fourth quarter and 2015 year-end conference call. Today's conference call is open to all members of the investment community and to media. After our formal remarks, the operator will give the instructions for asking a question and we will open the phone lines to the questions. Please note, that all figures are in U.S. dollars, unless otherwise noted. So joining me on the call today is Scott Perry, Chief Executive Officer; Frank Herbert, President; Jeff Parr, Chief Financial Officer; and Gordon Reid, Chief Operating Officer. As well I have Darren Millman with us he is our VP Finance and Treasurer and Darren is being promoted to CFO in April upon Jeff’s retirement at the end of March. Also, I would like to caution everyone that certain statements made on this call maybe forward-looking statements and as such are subject to known and unknown risks and uncertainties, which may cause actual results to differ from those expressed or implied. Also, certain of the measures we will discuss today are non-GAAP measures. And I refer you to our description and definition of non-GAAP measures in the news release and the MD&A. For a more detailed discussion of the material assumptions, risks and uncertainties please refer to our news release that was issued last night, as well as the MD&A and the audited financial statements and notes, and to our other filings, all of which can be found on SEDAR and the Company's website. So at this point in time, I will turn the call over to Scott.
Scott Perry: Okay. Thank you, John, and good morning ladies and gentlemen and thank you for joining us today. Like we do in most of our meetings we want to begin with safety in terms of this call. We’re going to walk you through our results today for 2015 we had an excellent year in 2015 both operationally, both financially but as we came into 2016 we’re up to very disappointing start. Those of you who know the Company you may have seen our press release on January 24, where we had tragic event that result in a loss of life of one of our employees at Kumtor. The Company is deeply saddened by these events our condolences with the family and we are doing everything we can to help our employees and the families involved. I wanted to just put forward though that philosophically as a company we recognize that we live or die by our geology if you will by our ore bodies. But our most important asset is our people. The geology, the ore body, the assets are not worth much if you don’t have the people to develop them. With this tragic event we made a firm commitment that we’ll be re-tooling and doubling down on safety myself and behalf of Management and behalf of the Board of Directors Centerra will be rolling out a new safety leadership program and more than anything we’ll be looking to create leaders in safety at every level in the organization. We recognized that we need to do better than this and we [indiscernible] I just repeat it so and most importantly we need to make sure we’re safeguarding our biggest asset which is our people. Moving on to the operational results 2015 was a very strong year in terms of execution I want to make sure that I am giving credit to Gordon Reid and his operations team and our management team that the asset themselves. If you look at on the production side of things we finished the year producing just under 537,000 ounces. This is a favorable out performance relative to our original guidance at the beginning of the year. But it also favorably exceeded our revised guidance that we released in Q3 of this year. So again very strong execution on the production front. As you may expect in terms of economies of scale, as you are getting your productivity is up and gold up with volumes up, we saw corresponding benefits in terms of our unit cost as well. Our original all-in sustaining cost per ounce guidance at the beginning of 2015 was $915. In Q3 things are progressing very low throughout the year. We favorably revised that guidance to a new target of $852 per ounce. And then here today, we thus reporting our year-end results we can confirm that we favorably outperformed that guidance itself finishing the year with a favorable all-in sustaining cost companywide of $814 per ounce. As I just mentioned this is obviously due to the significant productivity improvement we are seeing, but it’s also due to a number of business process improvements that we have been rolling out throughout our operations. We’ve had some favorable tailwinds obviously with the industry wide devaluation in oil prices and how that flows through in terms of the unit pricing on our diesel fuel. And also the exchange rate environment in Kyrgyzstan where our flagship asset is located, we’ve seen a significant depreciation in the local currency of the Kyrgyzstan and this is obviously also resonating favorably in our unit cost structure. Over and above these favorable tailwinds we are also been focusing on another aspects of the business. We’ve significantly reduced our manpower both in terms of national labor, in terms of the expatriate labor force, but also in terms of our third-party contract labor force. We’ve been focusing on a lot of supply chain management looking to renegotiate contracts and as a result getting some improvements in terms of price points and what have you. And I think you are seeing a lot of that resonate in our results here that we are reporting today and obviously that puts us in good stead as we make our way now into 2016. What really impress me the most in terms of our results we are reporting today is our year-end all-in sustaining cost at Kumtor. We finished the year with result of $731 per ounce. I think that’s very impressive, very competitive relative to the industry and I think it definitely positions Kumtor as a lower cost quartile asset. In terms of bottom line cash flow, the impressive level of production was the lower operating cost. This allowed Kumtor to generate some $158 million in cash flow that’s very impressive just given the weak gold price environment that we and the industry know we were experiencing in 2015. In terms of the financials Jeff will obviously elaborate on these, but I guess in terms of the headline results for the fourth quarter it was actually a net loss of $2.9 million or $0.01 per share. We just note that this does include a $27.2 million inventory impairment charge at Kumtor. However, in terms of the actual full-year our net earnings results came in at positive earnings of $41.6 million which equates to $0.18 per share and again this does reflect or incorporate the $0.11 per share inventory impairment that I just mentioned as well as an $0.08 non-cash write-down of Kumtor goodwill. Again last year was a difficult year in terms of the prevailing gold price environment notwithstanding Centerra’s business model. It continues to demonstrate profitable production and as a result strong profitability and cash flow. This is probably most evident in our balance sheet and our positive retained earnings. We continue to post a very robust balance. We finished the year with $727 million of positive retained earnings. Again I just pointed out so I think it really highlights the high margin nature of our flagship asset at Kumtor. From a cash flow perspective, we reported companywide positive cash flow from operations of approximately $333 million, which equates to approximately $1.41 per share. This level of strong operational cash flow was again obviously underpinned by Kumtor which in itself generated some $158 million in net cash flow. Again despite a challenging gold price environment we as the Company continue to demonstrate an internally funded business model, there by prior to the funding requirements to the Greenstone project acquisition as well as our dividend distributions, our company wide consolidated model and it generated some free cash flow of approximately US$90 million. As a result from a balance sheet perspective our cash and short-term investments were essentially consistent year-over-year and as we make our way into 2016 we continue to operate from a peer-leading balance sheet given our $542 million cash position or $466 million on a net cash basis. Just a couple of additional points on the liquidity front and Jeff will touch on these. As incorporated in today’s announcement, we’ve refinanced our five-year $150 million revolving credit facility with EBRD, obviously that really solidified and complement our overall treasury position. And again just referencing our guidance for this year, I think even though we maybe in some of the weaker gold price environment at Centerra continue to hold the at most confidence as we are able to internally fund all the growth initiatives and our overall business plan. With that, I’m going to turn it over to Gordon Reid, and Gordon will talk a little bit more - in a little bit more detail about the operations and the team’s commendable results.
Gordon Reid: Thanks Scott. As Scott mentioned, we have performed our annual guidance for both gold production and unit costs. Kumtor produced 131,000 ounces of gold in the fourth quarter as we expected. For the full-year Kumtor produced 521,000 ounces of gold at an all-in sustaining cost of $731 per ounce sold outperforming our revised guidance on both measures and generated net cash of $158 million. Kumtor implemented several cost and productivity improvements during the year including reducing the workforce by 10%, the effect of which won’t be fully realized until 2016, completing modification to the mill which by year-end improved recovery and throughput and by improving blending techniques to better manage the preg-robbing characteristic of the mill feed. Kumtor also benefited from the decline in global oil prices that resulted in lower cost for diesel fuel and from the depreciation [indiscernible] we saw on another currencies versus the U.S. dollar that favorably impacted the cost of labor and other consumables. During the fourth quarter operating cost at Kumtor decreased by $16 million to $47 million as compared to the fourth quarter of 2014 reflecting lower mining, milling and site support costs. In the quarter total consumable costs were down 32% including a 39% reduction in diesel fuel costs and a 12% reduction in labor costs. For the full-year operating costs were $23 million lower than 2014 with 18% lower mining cost, 9% lower milling cost and 18% of lower site support costs. Unit mining cost for the year $1.24 per tonne mine benefiting from the lower diesel fuel prices, reduced labor cost and favorable currency exchange rates. We expect these cost trends to continue in 2016. At year-end Kumtor added 164,000 net ounces to the proven and probable reserves before accounting for 2015 depletion. In 2016, we estimate that the Kumtor mine will produce between 480,000 and 530,000 ounces of gold with production weighted to the second half of the year as we access the higher grade portion of the SB Zone in the third quarter. Kumtor is expecting all-in sustaining costs for 2016 to be in the range of $817 to $902 per ounce sold. Boroo also outperformed guidance in 2015 by producing over 16,000 ounces of gold at a below guidance all-in sustaining cost per ounce, primarily due to lower diesel costs, lower reagent costs and lower labor costs. We discontinue cyanide of the heap leach pad and we will rinse the pad this year as we transition the heap leach facility to closure. On a consolidated basis Centerra produced 537,000 ounces at all-in sustaining cost per ounce sold of $814 per ounce. I’ll now turn it over to Jeff to talk about the financials.
Jeffrey Parr: Thanks Gordon. Good morning everyone. On a consolidated basis, our fourth quarter revenue of $148 million reflects 55% fewer ounces sold compared to the same quarter of last year if the production wasn’t abated as much to the end of the year in 2015 as it was in 2014. Our average realized gold price was $1,098 which was 8% lower than the 11-99 achieved in the fourth quarter of 2014. During the quarter we posted a net loss of $3 million or $0.01 after reflecting the $27 million or $0.11 per share inventory impairment charge at Kumtor that Scott mentioned. And I might just spend a minute to talk about this. As a result of the design and cut-back 17 it hit lower grade ore earlier than previous cut-backs. The accounting impact to this that we have to stop capitalizing cost as stripping and put the cost instead to inventory. So the end of the reporting period you have lower grade ounces in the inventory carrying a lot of costs. This is what causes the impairment. The important thing to note here is that the costs have not gone up, in fact as Gord noted they have down. It’s just the reallocation of cost from the capitalized stripping to inventory. And if you could look at cut-back 17 in its entirety is obviously very profitable. We expect to hit the higher grade ore at the bottom of the pit later in the third quarter. For the full-year we recorded net earnings of $42 million or $0.18 a share, this reflects the $27 million inventory impairment along with the non-cash impairment charge of $19 million for goodwill at Kumtor that we recorded in the third quarter. In 2016, our outlook for capital expenditures is expected to be $269 million, which includes $85 million of sustaining capital and $184 million of growth capital, which is mostly related to the construction of Öksüt. Most importantly the Company continues to generate good cash flow with cash provided from operations of about $47 million or $0.20 a share in the quarter and as Scott mentioned $334 million or $1.41 for the year. In 2015, Centerra generated cash of $158 million from the Kumtor operations and we used just over $100 million for project development including the acquisition of the Greenstone Partnership exploration and other business development activities. Centerra continues to focus on optimizing operations and reducing costs. Our cash flow remains positive and the balance sheet is very healthy was about $542 million at the end of the year. And as Scott mentioned, we renewed our revolving credit facility with EBRD for $150 million for five years. So with that, I will turn it back to Scott to wrap up.
Scott Perry: Okay. Thanks Jeff. Just a few comments in summary and really more from a 2016 outlook perspective. Gord mentioned in his commentary this calendar year we expect to produce 480,000 to 530,000 ounces of gold production. We except this to come in at a companywide all-in sustaining cost range of $877 to $968 per ounce. As we demonstrated in 2015 we think this level of production profile and associated cost structure will continue to result in profitable production and robust cash flow margins. Therein we should be in excellent shape to continue internally, funding our business plan and our business model. The strong financial position is important as we have three late stage development projects that we are moving forward and looking to add considerable value on it. Just quickly by a way of update on the project pipeline I will start with the Öksüt Project. Öksüt is a leading development project in Turkey. I think they are progressing very well. We secure the environmental impact assessment approval last November and we have now applied for our land used permits. Currently working on the detailed engineering and procurement of contractors and equipment is well underway, so once we get the necessary permits in place, our team can pretty much immediately get started on the ground in terms of entering into the construction phase. In Mongolia, Parliament just recently passed the resolution setting the state ownership interest in Gatsuurt. We have agreed with Government of Mongolia the state ownership will be replaced with a special royalty of 3%. This now allows Centerra to focus on finalizing the deposit development and investment agreements on the Gatsuurt Project. We are looking forward to advancing Gatsuurt and we are going to update the existing technical and economic studies on the project and undertake a program of exploration drilling and additional technical and hydrogeological drilling in support of the eventual project development here in Gatsuurt. Just lastly at the Greenstone project, we remain on track to complete the feasibility study in the middle of this year. Obviously it is a very important project to Centerra as well as our partner. This is probably one of the largest undeveloped open-pit gold deposits here in Canada, obviously with the prevailing Canadian dollar sort of denominated gold price environment, it’s demonstrating a lot of optionality in terms of this project moving forward and the potential value to the status here and that’s something that we look forward to showcasing with the pending feasibility. Just lastly, as we announced yesterday Centerra has maintained its dividend and CAD$0.04 per share for the quarter which are the current prevailing share price represents a peer-leading annualized dividend yield of approximately 2.2%. With that, really concludes our prepared remarks. So what we’ll do here is open the call for questions. And I guess with that operator if I can pass it over to you.
Q - :
Operator: Thank you. [Operator Instructions] And there appear to be no questions at this time sir.
Scott Perry: Okay. Thank you, operator. If there should be any questions after the call, please feel free to reach out to John Pearson, our VP of Investor Relations or any other members of the management team. And with that, we’ll conclude the call and thank you everyone for your participation.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for you participation, and ask that you please disconnect your lines.